Operator: Good day. And welcome to the Trinity Industries Second Quarter Ended June 30, 2024 Results Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, this event is being recorded. Before we get started, let me remind you that today’s conference call contains forward-looking statements as defined by the Private Securities Litigation Reform Act of 1995, and includes statements as to estimates, expectations, intentions and predictions of future financial performance. Statements that are not historical fact are forward-looking. Participants are directed to Trinity’s Form 10-K and other SEC filings for description of certain of the business issues and risks. A change in any of which could cause actual results or outcomes to differ materially from those expressed in the forward-looking statements. At this time, I would like to turn the floor over to Leigh Anne Mann, Vice President of Investor Relations. Please go ahead.
Leigh Anne Mann: Thank you, Operator. Good morning, everyone. We appreciate you joining us for the company’s second quarter 2024 financial results conference call. Our prepared remarks will include comments from Jean Savage, Trinity’s Chief Executive Officer and President; and Eric Marchetto, the company’s Chief Financial Officer. We will hold a Q&A session following the prepared remarks from our leaders. During the call today, we will reference certain non-GAAP financial metrics. The reconciliations of the non-GAAP metrics to comparable GAAP measures are provided in the appendix of the supplemental slides, which are accessible on our Investor Relations website at www.trin.net. These slides are under the Events and Presentations portion of the website, along with the Second Quarter Earnings Conference Call event link. A replay of today’s call will be available after 10.30 a.m. Eastern Time through midnight on August 8, 2024. Replay information is available under the Events and Presentations page on our Investor Relations website. Before I turn the call over Jean, I wanted to remind you that Trinity completed our 2024 Investor Day on June 25. The replay of that webcast is also available under the Events and Presentation’s page on our Investor Relations website. It is now my pleasure to turn the call over to Jean.
Jean Savage: Thank you, Leigh and good morning everyone. Seeing some of you in-person through our Investor Day in June was great. I encourage you to watch the webcast as it lays out our longer term priorities over the next several years and our progress since our last event in 2020. We believe we have an unmatched rail platform that provides a full suite of customer solutions and will ultimately drive higher shareholder returns. We are a premier railcar leasing company with a platform of integrated rail capabilities to support our lease fleet and serve our customers. One of the messages we wanted to convey at our Investor Day was our ability to optimize life cycle returns due to a less volatile operating environment combined with the reduced cyclicality of our platform. Our strong performance in the second quarter highlights this ability and showcase a significant improvement and durability of margins across our business. Here are a few key points before we get into the details. First, we are at GAAP EPS of $0.67 and adjusted EPS of $0.66 which is up $0.33 sequentially and $0.43 year-over-year on an adjusted basis. Second, revenues are up 16% year-over-year, and operating profit is up 43% year-over-year. This reflects improved lease rates, higher external deliveries and improved labor and operational efficiencies. Third, our cash flow from continuing operations in the quarter was $243 million driven by higher external deliveries and working capital improvement and finally, as we discussed at Investor Day, we are moving to a more traditional post tax definition of ROE as a key performance indicator. Using this updated metric, Trinity's last 12 months adjusted ROE was 16.8%, showcasing strength in operating results and balance sheet positioning. In short, our team delivered strong financial results in the second quarter, giving us confidence in the second half of the year. As Eric will discuss in his prepared remarks, we are raising our annual guidance by $0.20 to a 2024 full year range of $1.55 to $1.75 which implies steady performance in the second half of the year. Before discussing Trinity's performance, I'd like to update you on the railcar market. Demand for existing railcars remained strong with continued steady carload volumes expected in the back half of the year. Consistent with normal seasonal trends, we have seen railcars and storage tick up slightly, but we view the overall state of the railcar market favorably. The North American railcar fleet has grown somewhat in the last 18 months as railcar users look to optimize scrapping decisions as replacement cars are delivered. As we mentioned at our Investor Day, there are still large pockets of aging railcars that will need to be replaced in the coming years. Furthermore, train speeds are favorable and dwell times are down, which is a good sign for the overall longer term conversion of modal share to rail but reduces the demand for railcars in the short term. Carloads are down slightly year-over-year primarily due to a slowdown in coal carloads. Removing coal, carloads are up slightly year-over-year. Over the last few weeks, North American rail originations of construction and metals, agriculture and downstream and chemical products were up about 9%. Combined railcars in these segments represent over 75% of our fleet's net book value. We expect industry deliveries of around 40,000 railcars in 2024 and 120,000 railcars over the next three years. The builders, including Trinity, are demonstrating great market discipline to keep the industry fleet well utilized and diversified. The railcar build cycle is expected to be less volatile than prior cycles with lower peaks and higher floors. Trinity's business has two main segments: Leasing and Services and Rail Products. I'll start my comments on the Leasing and Services segment, which includes our leasing, maintenance and logistics services businesses. In our leasing business, we are proud of our lease fleet's continued strength and momentum. The future lease rate differential or FLRD is a positive 28.3%. This metric has stayed consistently high as market rates maintain their strength. During the nine quarters in which we have seen this metric in positive double digits, we have repriced about 44% of our fleet. Our renewal lease rates were 32.5% above expiring rates and leasing and management revenues were about 9% higher than a year ago. In the quarter, we had a renewal success rate of 72% and a utilization rate of 96.9%. Our strategy is to evaluate the best market for our railcars to maximize long-term returns, which can mean shipping railcars at the end of expiring contracts to best position our fleet for long-term value creation. Given the markets, car types and customers with expirations in the quarter, we feel good about our fleet's current positioning and utilization. We completed a portfolio sale of 135 railcars and related leases for an aggregate sales price of approximately $143 million and we recognized gains of $23 million on all lease portfolio sales in the secondary market this quarter. Our maintenance business is part of our leasing segment and as volume shifts between internal and external repairs, the margin in that business can vary significantly. However, having a strong maintenance network and the ability to service our own fleet is a competitive advantage and makes us a better railcar owner and partner. Moving to our Rail Products business, which supports our lease fleet and includes railcar manufacturing and our aftermarket parts business, I am pleased with our substantial progress, especially in labor and operational efficiencies. Our operating margin of 7.9% in the second quarter is up significantly both sequentially and year-over-year and is at the higher end of our full year guidance of 6% to 8%. We received orders for 2495 railcars in the quarter and delivered 4755 railcars. Inquiries remain supportive of our replacement level demand, and customers continue to efficiently place deliveries into service. A narrower railcars build cycle allows for more consistent operations and smoother labor and supply chain planning. This helps support consistent or modest margin growth in this business without volume growth in the near term. Before I conclude, I want to note that at the end of June, we published an interim update to our corporate social responsibility report, which is available on our website. I encourage you to review the report to get a timely update on our company's sustainability initiatives. I'll now turn to Eric to discuss the financial statements and update our views on the rest of the year.
Eric Marchetto: Thank you Jean, and good morning everyone. I want to walk through some of the highlights from our financial statements and then I'll close with some thoughts on our expectations for the rest of 2024. Starting on the income statement, quarterly revenues of $841 million reflect higher external railcar deliveries and improved lease rates. GAAP earnings per share from continued operations was $0.67 and adjusted EPS was $0.66. As Jean noted, this represents significant growth both sequentially and year-over-year. We benefited in the quarter by lower eliminations and lease portfolio sales. We also saw consistently better performance in our business and improved operating margins for both segments of our business. Moving to the cash flow statement, we generated cash flow from continuing operations of $243 million in the quarter $300 million, year-to-date. As you'll remember, we ended 2023 with a higher working capital balance driven by year end issues at the border. Those railcars have now been delivered and converted into cash, which you can see in our lower working capital balance of $699 million, down approximately $92 million, from the first quarter. The combined result of $163 million, in leased railcar sales and fewer deliveries to the lease fleet in the quarter as a net fleet investment of a negative $77 million. Our net fleet investment guidance range for the full year remains unchanged as secondary market activity is often lumpy, and we expect to see net investment increase in the back half of the year, with more deliveries in the lease fleet and fewer railcar sales in the secondary market. The RIV sale in the second quarter marks the fulfillment of our original program agreement. We expect to continue selling lease railcars to our RIV partners. We currently have liquidity of $985 million. Our loan to value for the wholly owned lease portfolio is 68.3% within our new target range of 60% to 70%. In the second quarter, two significant debt and capital market transactions strengthened our balance sheet and optimized our loan to value. First, in May, we issued $432 million of green secured railcar equipment notes, the TRL 2024 notes. The proceeds from this issuance were used to repay warehouse borrowings and redeem the outstanding ABS debt of TRL 7. Second, in June, we issued an additional $200 million of principal on our unsecured senior notes, increasing the aggregate principal amount to $600 million. We used the proceeds from this transaction and cash on hand to repay our Trinity unsecured 2024 senior notes. And now let's talk about what we expect in the second half of 2024. As Jean mentioned, we still expect about 40,000 industry railcar deliveries in 2024 to support replacement level demand. We expect to invest between $300 million and $400 million in our fleet on a net basis. Our operating and administrative capital expenditures of $50 million to $60 million a year, which includes investments in automation, technology and modernization of facilities and processes remains unchanged from previous guidance. Finally, as Jean mentioned, we are increasing our full year EPS guidance to a range of $1.55 to $1.75 for 2024. As we plan for the next six months, I want to provide more color around our guidance. First, as expected, we accomplished a large railcar sale in the quarter. Year-to-date, our gains on railcar sales are $25 million. We've previously stated that we expect gains to be about half of what they were in 2023. So the implication is that gains from sales in the secondary market will be lower in the second half of the year. Second, on our 2023 fourth quarter call, we stated that we expect about 20% to 25% of our deliveries to go into lease fleet for 2024. In the second quarter, that was about 10% due to the timing and planning of our manufacturing and delivery schedule. This benefited our quarterly earnings in the second quarter due to a lower revenue and profit eliminations. We expect a higher percentage of deliveries going into our lease fleet in the second half of the year. This is in support of our fleet investment goals and our conviction in the returns we will achieve by leasing these railcars instead of selling them new. When we add a railcar into our fleet, the associated revenue and profit for manufacturing are eliminated. Therefore, a higher percentage of railcars going to our fleet on the same number of deliveries will reduce quarterly earnings per share, but will generate better long term returns on the railcar and provide multiyear visibility in forward cash flow through lease contracts. As we discussed on our Investor Day, we expect 2024 operating margins between 38% and 41% in our Leasing segment and between 6% and 8% in our Rail Products segment. While we expect margins to average at these rates over the years, there can be some variability throughout the year. Leasing segment operating margins can move due to secondary market activity, maintenance volume and mix. Rail product margins can move due to product mix, line changeovers and production efficiency. We are proud of our performance in the second quarter and feel increasingly confident in our visibility in the rest of the year as evidenced by raising our EPS guidance. In our Leasing segment, a consistently high FLRD has driven lease rates upward and the revenue growth from higher lease rates flows to the bottom line. Our maintenance and digital services businesses are also performing well, providing a broader customer offering and a better customer experience. In the Rail Products Group, our higher operating margin reflects consistent and disciplined efforts around labor and operational efficiency. Our legacy parts and holding businesses are performing well and reducing the overall cyclicality of the segment. In summary, our suite of products and services are all performing well, improving the returns of our business and driving shareholder value. Operator, we are now ready to take our first question.
Operator: [Operator Instructions]. Your first question today comes from Bascome Majors from Susquehanna. Please go ahead with your question.
Bascome Majors: Good morning. From a little shaping, you were very clear on the internal versus external sales dynamic and how that would impact the second half. Can you talk a little bit about the margin progression which has been really strong for several straight quarters? And in the OE side of the business if that keeps moving up would potentially put us in the higher end of your range by year end, but also we understand that there may be some absorption issues with more of that revenue and profit being eliminated and trying to balance the underlying trend with the accounting of it. Thank you.
Jean Savage: Well, Bascome, you summarized it really well. So when we look at the second half with the products group, as Eric mentioned in his prepared remarks, it really depends on the mix of cars that we're producing, the number of line changeovers that are occurring during that time period and then the efficiencies. Different car types have different efficiencies that go along with them. So the group will continue to work on all the initiatives. Some of the early successes we've seen have been along the supply chain and procurement area along with some of the changeover work that they've been doing. So we expect to continue that, but still are holding the guidance for the year of 6% to 8% for the margins of products. Remember that steps up next year and the range we're giving there is 7% to 9%.
Bascome Majors: And that was actually my next question. There's a modest step up next year and really more of a leap in your long-term guidance to 9% to 11% in 2026 and can we -- walk I mean, this came up at the Investor Day a few weeks ago, but can we revisit that the caution on next year and the visibility or hope into a more meaningful increase in the year after, is that really just some kind of cyclical cushioning? or is there something you have visibility into in the mix and backlog that suggests that you really should see a bigger leap 18 months from now rather than six months from now? Thank you.
Jean Savage: So it is not the mix. What we're looking at is the initiatives. Remember, we said we're working on workforce staffing, retention and development, standardizing product offerings and complexity reduction, enhancing our production planning capabilities, advanced supply chain processes and strategic sourcing and then technology and automation. All of those take time to come through to the bottom line beyond the supply chain. So it's really about the timing of getting those done and bringing those in and what we told you at the Investor Day was from 2024 through 2026, we expect industry deliveries to be 120,000. So you're talking about a fairly stable environment overall. There could be a little bit of lumpiness year to year, but that's fairly stable and so it's going to take these initiatives coming through to continue to improve that margin.
Bascome Majors: The last one for me. Can you talk a little bit, so I think you said that you're through 44% of your fleet repricing since lease rates really took off a few years ago. Can we talk about how long the runway is to get to 100%? I think people just have kind of assumed maybe 15% a year as a proxy, but if lease rates on an absolute basis stay where they are, how much runway do you have into repricing the existing fleet at meaningfully better returns as we get through that without needing to see sequential strengthening or increases in the lease rates on an absolute basis? Thank you.
Jean Savage: I'll go on that and then Eric can jump in if he needs to. When you look at the tight market that we're in, it's really a balanced market and supply driven. So that's kept the discipline there within the market. So with only 44% of our fleet repriced and you were correct, we repriced about 15% of our fleet on an annual basis. We still see headroom going forward. Remember, in the quarter, our renewal rates were up 32.5% versus expiring rates. So we're still seeing strength there. You'll see any changes in that coming through in our FLRD in the future, but an FLRD of 28.3% percent is still very strong.
Operator: Our next question comes from Steve Barger from KeyBanc Capital Markets. Please go ahead with your question.
Steve Barger: Hi, good morning. This is Jacob Moore on for Steve today. Thanks for taking the questions. Some of these are similar to Bascome, but maybe asking in slightly different ways. So the first for me is, this looks like one of the lower revenue per car quarter since 4Q 2021 and I'm not exactly sure how the segment reclassification affects that. So I guess my first question is, can you talk about what's going on with mix and what does mix look like in the second half? Looks like it was a negative call out on the manufacturing revenue line.
Eric Marchetto: Yes, Jacob, this is Eric. Thanks. As far as the mix goes and we're still more of a freight car led market and even which freight cars generally have on average a lower selling price than the tank cars and within that there's a wide swing of mix. So I think that's fairly -- I wouldn't call too much attention to that. As we go forward, we expect a little more a modest increase in tank car delivery. So that should help that average selling price. We're more focused on the margins on all those railcars and so we feel good about where the pricing environment is overall on kind of across the board in all car types.
Steve Barger: Okay, got it. Thanks for that. Second one for me, your first half orders averaged 2200 per quarter versus a delivery average more than twice that at 4700. So my question is if that pattern persists in the second half, my math suggests backlog would end around 16,000 cars. Is there any thought to slowing down production or do you have firm delivery schedules for everything that's in the backlog right now?
Jean Savage: So I'll take that one. When you look at the order entry, so the builders are getting quicker on delivering cars. So in the past, when supply chain had issues, it would -- we would get orders earlier because everything filled up quicker. We're pretty much sold out for 2024 and when you look at the makeup of those, as Eric said, it's still safe car led, the tank car is starting to improve on it. We're not really concerned. Order entry can be lumpy. Remember, we had a large multiyear order come in. We've got about 46% of the industry backlog sitting on our books and as you said, we've delivered 40% plus of the deliveries for the last four quarters. So overall, it's really the lumpiness in quarterly entry and then the backlog that we already have.
Steve Barger: Okay. Got it. And that kind of leads nicely into my last question, if you will. If deliveries are lower next year, could you maintain manufacturing margin in the 8% range or maybe better ask what's the minimum delivery schedule to achieve your target manufacturing margin?
Eric Marchetto: So Jacob, as far as 2025 goes, we just did our Investor Day a few weeks ago and we gave pretty good indications of activity and margin guidance for 2024, 2025 and 2026. That's as far as we're going to go today in terms of 2025, but as Jean just mentioned, we're expecting 120,000 railcars over the next three years. So that's -- which is the same number we have seen in the last three years, so it should be pretty smooth or it will be 40,000 every year, but we're kind of on pace for about 40,000 this year. So you're not -- you can't really get that much variation off it and the margin profile -- our knowledge of our margin profile for 20250 is reflected in our Investor Day comments.
Steve Barger: Understood. That's good clarification. Thanks, Eri,c and thank you both for taking questions.
Operator: Our next question is a follow up from Bascome Majors from Susquehanna. Please go ahead with your follow up.
Bascome Majors: Eric, just with all the accounting nuance that we can see in your numbers sometime between the eliminations and that sort of thing, could you walk us through the $0.20 guidance increase on the EPS line? Just so we kind of understand a little better what's accounting and what's maybe upside surprises in the core performance of the business? Thank you.
Eric Marchetto: Yes. Thanks, Bascome. So I mean I think the setup in your question kind of is accurate. First, I'd say, the second quarter activity, we're real happy with where the activity came out and we still see solid performance in both our segments. When you compare that to what our guidance was for the year, back when we talked last talked in late April, early May. The second quarter does reflect better performance than we expected at the time. It also reflects our current guidance reflects better performance in the back half of the year and so we knew I talked about in prepared remarks the timing of gains. We've had more gains in the first half compared to second half, I think that's pretty clear on that, and as you mentioned or referenced, the eliminations are certainly back end weighted this year and that's just the way the production schedule fell. Some of that was reflected in our beat in the second quarter. We had fewer eliminations. The gains were a little higher than we expected as one of the deals got done in the second quarter, but we are holding our gain outlook for the full year. Our elimination outlook for the full year is held the same. So overall we are real happy with it. The last thing I would just say is remember we had some deliveries that were hung up at the border in the fourth quarter. Those have now all delivered and converted to cash. So we got the benefit of that roughly 1,000 units in the first half. We won't have that in the second half.
Bascome Majors: And to your comments about being happy with better performance than we expected in both the second quarter and with that carrying to the second half is if we really wanted to drill down into that is that mostly about manufacturing efficiency and margin? Or I mean what are the one or two things you would point to on where you surprised yourselves versus the budget you had in April? Thank you.
Eric Marchetto: Yes. I would say the margins on the Rail Group, we did specifically the deliveries at the border, the flow through of our supply chain all led to better efficiencies and so that gives us a lot of confidence as we move forward. On the leasing side, with an FLRD of 28%, last quarter 32%. We expect lease rates to keep improving and so we're confident that in the back half of the year we'll continue to re price assets up and so we're confident in that as well.
Bascome Majors: Thank you.
Operator: Thanks, and ladies and gentlemen, with that, we'll be ending today's question and answer session. I'd like to turn the floor back over to management for any closing remarks.
Jean Savage: Well, thank you for your time today. The strength of the Trinity platform comes from our consistent focus on protecting and enhancing returns of our lease fleet, and we're pleased with our second quarter results, and we believe we are well positioned for continued improvement on the returns of our business.
Operator: [Operator Closing Remarks].